Operator: Good morning, ladies and gentlemen, and welcome to Q1 2013 OGE Energy’s earnings conference call. My name is Kathy and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions). As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Todd Tidwell, Director of Investor Relations. Please proceed, sir. 
Todd Tidwell - Director, Investor Relations: Thank you. Good morning, everyone, and welcome to OGE Energy’s first quarter 2013 earnings call. I’m Todd Tidwell, Director of Investor Relations and with me today, I have Pete Delaney, Chairman, President and CEO of OGE Energy Corp., Sean Trauschke, Vice President and CFO of OGE Energy Corp, and Keith Mitchell, President of Enogex. In terms of the call today, we will first hear from Pete, followed by an explanation from Sean of first quarter results and finally, as always, we will answer your questions. I would like to remind you that this conference is being webcast and you may follow along on our website at OGE.com. In addition, the conference call and accompanying slides will be archived following the call on that same website. Before we begin the presentation, I would like to direct your attention to the Safe Harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements and simply states that we cannot guarantee forward-looking financial results but this is our best estimate to date. In addition, there is a Regulation G reconciliation for EBITDA in the appendix along with projected capital expenditures. I will now turn the call over to Pete Delaney for his opening comments. Pete? 
Pete Delaney - Chairman, President and CEO: Thank you, Todd. Good morning, everyone and thank you for your continued interest in the company and joining us this morning. Before discussing the quarter’s results, I want to discuss our mid-stream joint venture with CenterPoint that closed yesterday. We’re very pleased to be able to close in less than 50 days from announcement, somewhat ahead of plan, but we are anxious to move ahead to being to capitalize on the opportunities identified. The integration planning teams have been meeting for several weeks and while the work will continue on, the focus will be expanded to the implementation of the integration and filing the S1 for initial public offering. So you can appreciate, with the transaction closed, much can be accomplished with our combined resources now being able to talk about serving customers and pursuing commercial opportunities in the marketplace. We also understand leadership is critical. Our process to select the CEO and CFO of the joint venture is well underway with external and internal candidates involved in the search. Work is also progressing on filling other key positions. We are sensitive to the balance between conducting a thorough process to get the best candidates in place and moving expeditiously to have leadership in place. In addition, while the partnership’s leadership team is being assembled, Greg Harboard and Keith Mitchell are working closely together as co-leaders of the partnership, each continuing to have authority over former CenterPoint Energy and Enogex’s mid-stream operations respectfully. On our second quarter call, we plan to provide detailed guidance of new partnership. With the closing now behind us, we can work with CenterPoint to pencil out the financials associated with our business plans. As you know, prior to HSR approval, our discussions are limited to integration planning as opposed to determining additional commercial opportunities with new or existing customers. We now are in a position to work together as teammates as opposed to potential competitors. We are very excited about the future of the mid-stream joint venture with its increased geographical reach, financial strength and complimentary capabilities along the mid-stream value chain. Now onto the quarter. As you’ve seen in our release that went out early this morning, we’ve reported first quarter 2013 earnings of $0.23 per share compared to $0.38 per share in 2012. Our earnings, while lower quarter over quarter, are in line with the guidance we provided for 2013. Our 2013 earnings guidance remains $3.35 to $3.60 per share without any adjustments for the new mid-stream joint venture. The utility earnings reflect quarter over quarter. The fundamentals of the utility business remains strong with our continued – with customer base continuing to grow, supported by our robust service economy. OG&E reached their milestone this quarter, surpassing the 800,000 customer mark. And while weather was positive for the quarter, this was all offset by a one-time $0.05 reserve taken for a reduction in Oklahoma income tax credits related to a wind farm. You’ll recall, we mentioned this on the fourth quarter call as is included in our guidance. Our transmission spending on our Southwest power pool projects drops next year from recent years marking the completion of the last large transmission project of a multi-year $1.5 billion transmission program. We have received notices, however, to construct two additional lines for approximately $300 million with construction starting in 2016. Looking forward, we’re evaluating opportunities for OG&E under FERC order 1000 competitive rules to build and own additional transmission in the Southwest power pool. As you may know, the rules for competing have not been finalized and much remains in flux. We hope to leverage off our substantial experience to bring additional growth opportunities to OGE Energy. On the utility front, we continue to execute our plan of leveraging off our Smart Grid platform to create an improved customer experience through improved interfaces, interactions and operational effectiveness that results in, among other things, greater reliability. Our demand response efforts is spearheaded by our SmartHours program, which is projected to have some 8,000 customers enrolled for this summer’s peak. The success of SmartHours is integral in allowing the utility to defer incremental base-load generation until after 2020 and while scoring very high in customer satisfaction. Another important initiative is the comprehensive work underway in the operations area related to cost performance driving by ideas from our members in the field. Like other utilities, we have significant retirements in the future and are implementing changes that we believe should allow us to be able to be more effective while maintaining – efficient while maintaining quality. As you saw from the quarter’s financial, operations and maintenance costs were roughly flat year over year and while there are many reasons for this result, one metric tracked is headcount, which is 6% lower than a year ago. These efforts are to protect the customer bill given future cost pressures. Speaking of costs, we continue to wait on the Regional Haze ruling from the Tenth Circuit Court, which is expected, the ruling is expected sometime this summer. The Court decision will be pivotal to our next steps, either moving ahead with scrubbers to waiting for the EPA to start the process over again. As you know, we have five years to comply with the regulations once the final regulatory is issued. In March, the utility was notified by the Department of Justice that it was prepared to initiate enforcement litigation regarding the EPA’s notice of violation under the new source review pertaining to OG&E’s coal plants. This is similar to what the EPA’s asserted in other cases regarding the permitting of standard maintenance and repair to coal plants. It’s our strong believe that we have not violated the Federal Clean Air Act. As always, we will keep you posted on events as they unfold. Turning to the regulatory front in Oklahoma, we do not, again, have a [inaudible] case slated for any time in 2013. Our base capital expenditures are close to appreciation levels and we’re aggressively managing our costs as you heard in order to negate any need for rate increases. Our [inaudible] regulator lag is very much an issue that results in an acceptable rate of return on our investments. We are looking for ways, again, to reduce that lag through riders reform of our rates. The good news is that in the past month, the Arkansas commission granted a recovery of costs associated with the cost wins – Crossroads Wind Farm back to the August 2012 filing date. We are working with staff on similar recovery mechanisms to reduce lag. At Enogex, earnings fell off $0.13 from $0.25 a share to $0.12 a share. As you know, our guidance was for lower earnings at Enogex and we expect to meet our guidance for 2013. During the quarter, the first quarter, we realized record volume in gathering and processing businesses. Gathering volumes grew by 15%,processing volumes by 16% and [inaudible] production by 20%. This increase in our gathering margin, which was more than offset by a drop in processing margin, due to last year’s key pole contract conversation and lower prices. Transportation margins were lower due to numerous factors, most of which is expected to be reverse by year end. In this environment, our focus on cost control and efficient execution of our growth initiatives remain key to our 2013 results. Sean will discuss our outlook in more detail. Looking ahead beyond 2013 for Enogex, the $200 million a day Mcclure processing plant will be in process at the turn of the year as we continue to build out the infrastructure required in Western Oklahoma and the Texas panhandle. The Southeast Cana region is providing robust volume growth to our system and the prolific SCOOP play and we are bidding on substantial acreage dedications there. Even without the new dedications, if volumes continue to grow at this pace we may need additional processing facilities towards the end of 2014. We do not expect to win – we do expect to win additional dedications with our excellent field operations and customer relationships combined with a well-positioned system. While year over year comparisons will continue to be influenced by cyclically low methane and propane prices and the conversion of a major key pole contract, looking forward, volume growth should be the principle driver on gross margin. We do expect more upside than downside to commodity prices. The partnership with CenterPoint Energy’s mid-stream business substantially changed the nature of OGE Energy’s investment in the mid-stream industry. This transaction creates a geographically diversified scaled mid-stream business that in our opinion would be a premier mass-limited partnership investment such as we have been working on to create with the Enogex art-like partnership. While much work is in front of us, this partnership has great opportunities for our customers, members and of course, our shareowners. Now I’d like to turn the call over to Sean. Sean. 
Sean Trauschke - Vice President and CFO: Thank you, Pete, and good morning. For the first quarter, we reported net income of 23 million, or $0.23 per share as compared to net income of 37 million or $0.38 per share in 2012. The contribution by business unit on a comparative basis is listed on the slide. Although quarter over quarter results were lower, both businesses are on plan for 2013 and we’ll discuss guidance later in the presentation. At OG&E, net income for the quarter was 13 million, or $0.13 per share as compared to net income of 12 million or $0.13 per share in 2012. First quarter gross margin came in stronger as we saw an increase of 11 million or 5%. I’ll discuss gross margin in greater detail on the next slide. But first, I want to discuss some of the other key drivers. We are focused on controlling our O&M costs, which were lower for the quarter and as we’ve mentioned before, we are projecting O&M to be relatively flat compared to 2012 and we’re on that plan. Depreciation and property taxes were higher for the quarter as a result of additional assets being placed in the service throughout 2012 and the first quarter of this year. Net other income declined primarily due to revenues associated with the guarantee flat bill program as a result of more heating degree days compared to normal. Income tax expense was 12 million in the first quarter, an increase of approximately 9 million due to the one-time reserve associated with the Oklahoma investment tax credit we told you about on the last call as well as higher pre-tax net income this quarter. Now turning to the utility, margins were up for the first quarter of 2013. There are three primary drivers for the increase in gross margin. First was an increase in wholesale transmission revenue of 10 million. The increase was primarily due to C-whip recovery for specific SPP projects. Second, the weather created a positive gross margin variance of 9 million as heating degree days were 30% higher compared to 2012. Compared to normal, weather contributed 6 million to gross margin in 2013. And finally, customer growth added another 3 million in gross margin. We added over 9,000 new customers to the system as compared to the first quarter of 2012 and on a weather-normalized basis, megawatt hour sales grew nearly 1% with the largest growth coming from residential and commercial sectors. Partially offsetting these increase was the contribution from riders which were placed in the base rates as a result of the Oklahoma rate case. Revenues previously collected evenly through the year in riders are not collected based on a load curve, which is heavier weighted toward the summer months. Turing to Enogex, OGE’s portion of earnings per share decreased from $0.25 in 2012 to $0.12 in 2013 and our share of EBITDA fell from 66 million to 49 million. One of the primary drivers for the decline was gross margin, which I’ll discuss on the next slide, but first, I’d like to discuss some of the other drivers for the quarter. Excluding the gain on insurance proceeds, total operating expenses increased by 8 million for the quarter, for the first quarter of 2013 as compared to 2012. The primary reasons for the increase were increased headcount to support business growth and higher levels of depreciation and amortization relating to additional assets being placed into service. Turning to gross margin, during the first quarter of 2013, Enogex’s gross margin was 19 million lower compared to the same period in 2012. Volumes in gathering and processing were at record levels in th quarter as volumes increased 15% and 16% respectively. However, processing margins fell primarily due to lower NGL prices from $1.30 compared to $1.50 excluding methane and the previously-announced contract conversion of a major customer from key pole to fixed fee. In addition, the basis differential between [inaudible] has narrowed considerably. We are seeing a current spread of about $0.04 and for 2012, the average spread was closer to $0.23. This translated into a margin reduction of about 9 million for the quarter. Volumes were also at record levels as they increased 20% but gross margins remained flat as prices declined from $2.17 per gallon to $1.97 per gallon. This was partially offset by higher gross margins in gathering due to the record volumes. Gross margin also decreased for the transportation and storage segment by 4 million for the quarter as compared to the first quarter of 2012. The decreases were primarily due to an 18% decrease in volumes and lower natural gas sales. Now, turning to guidance, as you know, the majority of the utility earnings occur in the second and third quarters and assuming normal weather, we’re comfortable with our current guidance. At Enogex, we continue to see strong volume growth in our gathering and processing businesses and we believe that continued volume growth for the balance of 2013 will allow us to meet our guidance projections. Volumes continue to grow not only compared to the first quarter of 2012, but also since the end of the year as volumes were up 1.3% in gathering, 1.9% in processing. We anticipate volume growth to continue based on part on drilling plans provided to us by some of our largest customers. We continue to face the natural gas liquids pricing headwinds, but our locations in key basins have helped us weather the downturn in commodity prices as has our fixed-fee contracts. Before turning to your questions, I did want to reiterate our guidance for 2013 is unchanged for both of our businesses. We still project consolidated earnings between $3.35 to $3.60 per share and this excludes the impact of the joint venture transaction with CenterPoint. To be clear, we are confident this transaction will be accretive to OGE earnings in 2013. Now that we have closed, we can begin working through the accounting treatment of the transaction and the integration teams are able to put our plans together to realize the full potential of this partnership. Our plan is to provide updated guidance on the second quarter earnings call once we have put together the detailed forecast of the combined entities. We understand you’re anxious to have numbers for your models, but we want to provide you with meaningful forecasts for the combined entity and the corresponding impact to OGE. This concludes our prepared remarks. With that, I’ll open it up for questions. 
Operator: (Operator instructions). Your first question is from the line of Brian Russo from Ladenburg. Please go ahead. 
Brian Russo - Ladenburg Thalmann: Hi, good morning. When can we expect the S1 to be filed? 
Sean Trauschke: Brian, I think the simple answer is as soon as we can. We’re – we want to get that done as soon as possible. I think there’s a handful of things we have to get done before that and you know, as you know, we’re somewhat limited, prior to closing, what we’re allowed to do. Both entities, we’re still competitors so we weren’t really able to begin working together and so the first thing we’re going to be doing now is really kicking off these integration teams. We’ve done some high-level integration work but now they’re going to dig in. We also have to create audited financial statements for this entity. As Pete mentioned about the management teams, we’ll put the management team together and you know, lay out the forecast and we’re going to do this as quickly as possible, but there’s still some work to be done. 
Brian Russo - Ladenburg Thalmann: Understood. And could you just remind us of your gathering and processing volume growth outlook in ’13 and ’14? 
Sean Trauschke: Yes, we – our guidance was 10 to 15% this year. Our – can you hear me, Brian? 
Brian Russo - Ladenburg Thalmann: Yes. 
Sean Trauschke: Okay. Our guidance was 10 to 15% this year and 5 to 10% next year. 
Brian Russo - Ladenburg Thalmann: Okay, so it looks like you’re tracking at the high end of that? 
Sean Trauschke: We’re good with the guidance. 
Brian Russo - Ladenburg Thalmann: Okay. Are you able to quantify the margin impact from the key pole contract that was converted to fixed fee in the first quarter? 
Sean Trauschke: Sure. It was about $8 million of margin. 
Brian Russo - Ladenburg Thalmann: Okay, great. And is the 300 million of incremental transmission spend, is that included in the projected capital expenditures slide? 
Sean Trauschke: It is in our CapEx table in the Q and the K, but it really – we don’t begin investing those dollars until ’16, ’17. 
Brian Russo - Ladenburg Thalmann: Okay. And correct me if I’m wrong, but it looks like the Enogex CapEx has increased quite meaningfully in ’14 and ’15. Can you just comment on that? 
Sean Trauschke: I don’t believe it has, Brian, from what we put out in the K. 
Brian Russo - Ladenburg Thalmann: Okay. That’s all I have. Thank you. 
Sean Trauschke: Okay, thanks, Brian. 
Operator: Thank you. The next question comes from Sarah Atkins from Wells Fargo. Please go ahead. 
Sarah Atkins – Wells Fargo: Hey, good morning, everyone. 
Sean Trauschke: Hey, good morning, Sarah. 
Sarah Atkins – Wells Fargo: Can you talk about the cash benefits to OGE of the new structure and kind of potential dividend strategy for OGE as well as the ability to fund Regional Haze CapEx? 
Sean Trauschke: Okay, so Sarah, a couple things happened at closing. First off, we were probably, the day before closing, as all of the accounts settled, we did receive kind of a near-term cash benefit as our short-term borrowing was probably, in round numbers, about 730 million. Today, it’s about 600. Going forward, obviously in an MLP structure, you’ll have distributable cash coming out of the business, so Enogex will be – or this new venture, I shouldn’t say Enogex, but this new venture will be a source of cash where historically it’s been a use of cash. So we’ll have a lot more cash flow coming into business. A lot of that will be driven on the forecasts of the new entity as well as we finalized the accounting treatment of that and determined that the entity, whether they’ll be any step-up in basis and things like that. But we do expect there’ll be significant cash flow coming out of the business and if we didn’t go down the path coming out of regional haze, we had to invest in scrubbers or something like that, that certainly would be a source of cash to mitigate or eliminate any equity you need for the utility. And as far as the dividend, I’ll let Pete tackle that one. 
Pete Delaney: Yes, Sarah, from a dividend standpoint, you know, one of our goals associated with this transaction, as Sean talked about, would be for it to be cash flow accretive to OGE Energy relative to our standalone case and we believe that will, in fact, be the case. As you know, we continue to increase, and we have in past years, our dividend growth rate. We have our longer-term goals of, you know 60% of earnings on our dividend payout. But you know, as Sean also said, we now are able to work very closely with – as we are now closed, and get our detailed financial forecasts. We would like to get some more clarity on environmental, but I hope you understand and see that we are, of course, dedicated to deploying our capital, you know, where we get a good return for shareholders or if not, you know give it to shareholders. So we’re going to continue on with that commitment. 
Sarah Atkins – Wells Fargo: Great, that’s helpful. And then, what’s your transmission? It sounds like you’re looking at opportunities outside of the OG&E footprint. Is this the case and should we expect the formation of a separate TransCo or you know, to pursue these opportunities? 
Peter Delaney: You know, so yes, I talked about outside of footprint, but that’s correct. You know, we’ve – you can tell from our $1.5 billion of transmission projects, we’ve got a lot of experience in the Southwest power pool working with the Southwest power pool and building in this region. And so we have – we’ve been studying our opportunities we may have to – under the competitive rules, which are still being developed to compete for additional projects and we continue to study that and of course, you know, we don’t think all of the valuation of the [inaudible] we’ve been on price, but of course, we’ve got to look at our ability to manage large-scale projects, to do them efficiently, build them to perhaps different standards than we have for our own system, cost of capital is also important in that. And so, as we evaluate – we are talking steps internally for what we thing internal capabilities would be required to compete but again, depending on how the ultimate rules come out, we would finalize the strategy. I think it’s premature for us to say that we’d be creating any separate Transco or entering into any partnerships at this time, but we’re giving it a hard look. 
Sarah Atkins – Wells Fargo: Great. And then last question, I’m not sure I heard this correctly, did you say that you see a need for additional processing capacity at the end of ’14? 
Keith Mitchell: Yes. As we look at our volume growth and continue drilling, we try and look ahead and plan when we might need additional capacity and right now that would look like towards the end of ’14 where we might need to have additional capacity over and above our current build out. 
Sarah Atkins – Wells Fargo: Okay, and that’s not embedded in the current CapEx forecast? 
Keith Mitchell: That’s correct, it’s not. 
Sarah Atkins – Wells Fargo: Perfect. Thanks so much. 
Operator: The next question comes from the line of Anthony Crowdell from Jefferies. Please proceed. 
Anthony Crowdell – Jefferies: Hey, good morning, guys. A couple questions and one you’re probably not going to like. The easy one is, just what’s your trailing 12-month ROE at the utility. The second question was just, and I know you guys, as soon as possible has been the answer on the S1, but is that expected to be like a summer event or it should we think of that as the fall? Just try to put some months around that. And last, it seems – just a follow up on the last question, it seems that the growth in your service territory with a new plan share added, you basically, I don’t want to say consuming but you basically need another processing plant, it looks like, each year. Is that accurate? 
Sean Trauschke: So Anthony, I’ll try to take these in order here. On the first one, the trailing 12 months ROE, in Oklahoma, we’re earning close to our allowed return of 10.2. As Pete mentioned, in Arkansas we’re probably earning closer to 6 to 7% there. And obviously, at the FERC transmission on the formula rate, you’re earning your allowed return there of 11.1. The second question, as far as putting a month or some specificity to the S1, we really can’t, Anthony. We’re going to work as quickly as we can because our ultimate goal is to IPO this as soon as we can. I mean, that’s our goal and we’re all very much aligned around that objective. What we have heard from various institutions that, you know, if you were going to try to get an IPO out this year, you really need to file the S1 by September 1st. But that’s not a commitment of when we’re going to be able to do this. We’re going to work as quickly as we can. As far as the processing capacity, I’ll turn that over to Keith. 
Keith Mitchell: Yeah, as we mentioned earlier and if you look at what we have been in placing into service, it’s been about a plant a year. You know, we are in some very good basis with good acreage positions with some of the biggest players in the area and some of the most active drillers. But that’s just something we have to continue to look at with these dedications and the rigs that they’re deploying and whether or not that’s going to continue. And you know, it kind of goes – it depends on producers, some – we’ve seen some increases in some areas and some that’s shifted around but right now that is our projection. 
Anthony Crowdell – Jefferies: Great. And Sean, if I could just follow up, when you file an S1, is there, I guess, a period of time where I guess does the SEC approve it? What happens once you’ve filed that? 
Sean Trauschke: You’re exactly right. You file it, you will get comments and you may have a couple turns of that. 
Anthony Crowdell – Jefferies: And those turns, a government agency could take as long or as short as possible? 
Sean Trauschke: True, that is correct. 
Anthony Crowdell – Jefferies: Got it. Thanks a lot for the help, guys. 
Operator: Thank you. The next question comes from the line of Brian Russo from Ladenburg. Please go ahead. 
Brian Russo - Ladenburg Thalmann: Yeah, hi. Thanks for the follow up. I was just curious, the – it looks like you’ve purchased NGLs under your key pole agreements and I was just curious if you could elaborate on that. 
Pete Delaney: Those are – when we have fixed free agreements as well, we will, a lot of times, monetize those NGLs and so we’re actually buying them from the producer and reselling them. That’s kind of our purchase for resale. You know, on the key pole, those are our equity gallons as we recover them. So we obviously would sell those as well. 
Brian Russo - Ladenburg Thalmann: Okay. Got it. Thank you. 
Operator: Thank you. Sirs, you have no questions at the moment. (Operator Instructions). Thank you. I would now like to turn the call over to Pete Delaney for closing remarks. 